Operator: Ladies and gentlemen, please stand by. Good morning and welcome to the Ubiquiti Networks' Second Quarter Fiscal 2018 Conference Call. All participants are in a listen-only mode. After the presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Ms. Laura Kiernan. Please go ahead please, ma'am.
Laura P. Kiernan - Ubiquiti Networks, Inc.: Thank you, Jake. And thank you everyone for joining us today. I'm here with Robert Pera, Founder, CEO and Chairman of the Board at Ubiquiti Networks. Before we get started, I'd like to review the Safe Harbor statements. Some of the statements we will make during this call constitute forward-looking statements, including perspectives on our future financial results, products, market conditions, and competition. These statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed during this call. Information on risk factors and uncertainties is contained in our most recent filing on Form 10-K with the SEC and our other SEC filings, which are available on the SEC's website at sec.gov. Forward-looking statements are made as of today, February 8, 2018, and we assume no obligation to update them. We hope you have reviewed management's prepared remarks, which are posted on the Events & Presentations and Financial Information sections of our website, ir.ubnt.com. This call will be a Q&A-only call. Please limit yourself to one question each. Jake, we are now ready for your questions.
Operator: And we'll hear first from Woo Jin Ho with Bloomberg. Go ahead, please.
Woo Jin Ho - Bloomberg LP: ...taking my questions. So, Robert, can you just talk about the second half guidance and the second half outlook? I'm just trying to get a better understanding of what the sales dynamics may be to bring your full-year sales towards the lower end of the range? How do I think about it from the enterprise side and how do I think about it from the service provider side? Thanks.
Robert J. Pera - Ubiquiti Networks, Inc.: Service provider is looking strong. We have a number of catalysts that are just at the early stages. If you look at airMAX, we have our airMAX AC Gen 2. And by many accounts, it's by and far the best performing system in the WISP industry now. We have an excellent what we call Prism technology in the base station that greatly mitigates the effects of noise in the 5 gigahertz spectrum, and it allows for much higher throughputs, much higher capacity. On the client side, we have a number of great solutions. We just released a $49 NanoStation loco 5AC that we think is going to lead to a lot more upgrades of networks. And where we really shine I think right now is our software. So, if you look at our airOS software, the airMAX performance, I think it's as good as it's ever been. We also have great, what we call, Ubiquiti Network Management System both consisting of a mobile app and a controller as well as free what we call UCRM. So it's a complete which allows service providers to manage their complete businesses. So it's a complete end-to-end software suite. And combined hardware and software, I think airMAX AC is in fantastic shape. So I fully expect to see growth returning to airMAX world. At the same time, we have our very ambitious five, six year in the making project we call LTU, which is our long-term Ubiquiti vision, and that's another price performance disruption for the WISP industry. And we're essentially taking what used to be very high-end, maybe WiMAX type base station equipment that costs thousands or tens of thousands of dollars, or LTE base station equipment. And we're lowering that price to something pretty much jaw-dropping. And there's a number of enhancements in that technology. The spectral efficiency is better than 22 bits per second per hertz. We have support 40/96 quantum (5:19) modulation. So it's like a Rolls-Royce engine at a commoditized price point. And lastly we have UFiber, which is early – it's starting from a small base, but I think it's going to grow quickly. We have a very low-cost, aggressive ONU customer equipment coming up. So, operator I think will finally return to some significant growth after a two- to three-year low. On the UniFi side. We're also excited about UniFi. I guess, in the past two years, we've really solidified UniFi as a top performer in enterprise Wi-Fi in terms of the Wi-Fi driver. And what you'll see over the course of the next year is some bigger improvements, especially in the user experience. So we have a new wave of hardware that'll make it much easier for anyone to install a UniFi system. And I think that will expand our operator base. We also have deep investments in security, intrusion prevention, intrusion detection systems that typically have cost thousands, tens of thousand dollars, and we're pretty much giving these powerful features free of charge in UniFi security gateways. And then, lastly, another big catalyst in the UniFi world is video. We've overhauled the team and the R&D strategy about two years ago. And I think what you'll see in the later half of this calendar year is UniFi Video turning the corner much like UniFi did in 2016, 2017. So we're on our fourth generation of UniFi Video technology and we're going to significantly reduce the pricing and significantly increase the performance and the user experience. And that's all going to start in the next few months with the release of UniFi Video 4. And of course with things like Ubiquiti Labs, we're always looking to make big bets. I believe you always have to be aggressive in this day of age. If you're not moving, if you're not adapting and trying new things, then you're going to get beat. So we always are trying to move faster than competition. And AmpliFi, I think considering our level of marketing, investment in infrastructure, relative to the competitors, it's done extremely well and is a profitable business. I think you'll see it continue to grow and early day's trajectory is similar to what we had in UniFi in the first year to two years.
Operator: We'll now move to our next question. It will come from Erik Suppiger with JMP Securities.
Erik L. Suppiger - JMP Securities LLC: Yeah. Thanks for taking the question. You had refinanced your debt agreement earlier in the quarter. Can you comment why you felt the need to take up access to capital, when you also had the opportunity to repatriate the offshore cash? Why you need access to so much capital?
Robert J. Pera - Ubiquiti Networks, Inc.: So, when we started that process, it wasn't a sure thing we'd be able to repatriate the cash, one. Second, it takes a while to get financing that's lined up. And when you're looking at the market – and I believe that things are in a bubble right now. And also when opportunities come up, you want to be able to jump on them. And so I think the benefits of having that cash ready, it's a good thing to have.
Operator: And now we'll move to our next question and that will come from Tal Liani with Bank of America Merrill Lynch.
Kayla Brooks - Bank of America Merrill Lynch: Hi. Thanks for taking my question. This is Kayla Brooks on for Tal. And I was wondering if you've seen any change in your North American service provider market after AT&T started to more aggressively roll-out fixed wireless access in many rural areas? Thanks.
Robert J. Pera - Ubiquiti Networks, Inc.: Yeah. This one is tough to really get a handle on. For years, there have been carriers that have launched initiatives to get to the more rural areas of the country with licensed frequencies. I'm still of the belief that economics of community wireless broadband or these independent entrepreneurs, we call the wireless Internet service provider industry, I'm of the belief for this community Internet-type model to get broadband to these disparate areas of the world is by far and away the most efficient way to solve that problem. Big companies have licensed frequency overhead. They have a lot of I'd say high-end standardized technologies, base stations overhead, they have the infrastructure, the truck rolls. So I think it could have some impact, but I also believe that our operator market in the larger wireless Internet service provider industry will continue to grow. And one of the things we've done I'd say to maybe reduce our exposure just on the wireless side is to get into things like fiber and high-end switching and carrier routing, like we do with our EdgeMAX technology. So I think our diversified operator technology portfolio should still grow, even if these new initiatives from big Tier 1 carriers eat into some of the OS market.
Operator: With that, ladies and gentlemen, this does conclude our question-and-answer session and we'll bring the conference to a conclusion. We do thank you for your attendance and you may now disconnect.